Operator: Good morning. And welcome to Gafisa's Earnings Conference Call for the [Third] [ph] Quarter of 2014 and for the Year of 2014. In today’s teleconference, we have Mr. Sandro Gamba, CEO of Gafisa; Andre Bergstein, CFO and Investors Relations Director for Gafisa; Rodrigo Osmo; CEO of Tenda; and Felipe Cohen, CFO and Investor Relations Director at Tenda. We would like to inform you that this teleconference is being recorded and all the participants will be in listen-only mode. After the remarks, we will begin the Q&A session. [Operator Instructions] Before we begin, we would like to inform you that this teleconference is for the financial results of Gafisa for the fourth quarter of 2014 and for the year of 2014, and based on information currently available to us. Management’s involve risks, uncertainties and may refer to future events. Any changes in macroeconomic policy or changes in legislation and other operating results may affect the performance of the company. Please Mr. Bergstein you may begin your presentation.
Andre Bergstein: Good morning and thanks for attending our call. Despite a challenging environment, the company remained focused on maintaining operating performance, increasing profitability and generating shareholder value in 2014. Last year, we made further headway in managing our working capital by streamlining the production cycle, we were able to shorten overall construction time and strengthen the financial managements of that construction. We also increased both the quality and speed of the transfer process of banks. We completed almost all legacy projects from the Tenda segment. These measures, improvements and also decrease the amount of capital employed. This allowed us to begin 2015 in a strong position and to keep pace with the business cycle, despite current economic uncertainty in Brazil. In this context, we would like to note that sound performance of Gafisa and Tenda’s projects during the year and their contribution to the company’s consolidated results. The adjusted gross margin reached 33.2% in 2014, around 2 percentage points higher. The Gafisa segment maintained consistent results with an adjusted gross margin of 35.4% in the year. The Tenda segment benefited from the consolidation of its New Business Model and consequent larger contribution of new projects and their gross margin was 26.9%, with in line with guidance of 28% to 30%, significantly higher than 2013. Last year was impacted by several one-off events, including the World Cup at the end of the first semester, uncertainty and turbulence around the presidential elections at the end of the year, and continuing economic stagnation in Brazil. These factors resulted in challenging conditions in various economic sectors, including the real estate market [technical difficulty] in demand, especially in the medium and high-income brackets. Consequently, the Gafisa segment is being very selective in the development and launch of products in order to prioritize stable levels of profitability, being conservative and with conservative cash management. Full year Gafisa segment launches totaled $1 billion, which is slightly below guidance of $1.1 billion to $1.2 billion reais. Given the uncertainty in the economic environment and a lower level of consumer confidence, the Gafisa segment chose to postpone the launch of some of its planned projects. One of the initiatives was the consolidation really with production. We closed the year with strong volume of deliveries more than 3,806 units were transferred equivalent to $1.6 billion, these were transferred to banks. The result reflects the increasing level of control and efficiency in the segment’s operations. Currently, Gafisa has 41 projects under management which are all within contractual deadlines. Gafisa segment ended the year with the turnover in the portfolio of approximately $2.3 billion, of which $143.1 million is related to projects outside the Rio-São Paulo area, a 47.5% decrease year-over-year. It is worth noting that the more long-term and transfer the Gafisa segment’s inventory, with a high composition of total inventory 63.2% scheduled for delivery from 2016 onwards. These factors combined enable greater flexibility in the sale of these units. These factors as we said combined and enable greater flexibility. Looking ahead to 2015, given the likely continuation of current economic scenario, we expect to maintain a more conservative approach. In the quarter, we have a gross margin of 30.7%, due to non-recurring effects in the earlier year. The growth results went up for the fourth quarter and Gafisa had a net profit of 37 billion reais, closing the year with 67 million reais. Considering these are prevailed, the net profit was 16 million reais and 34 million reais in the year. For 2015, we intend to have a conservative approach in developing new products, giving priority to projects with larger liquidity and greater profitability. Now, I will turn the floor to Felipe Cohen, who will talk about the highlights of Tenda.
Felipe Cohen: Good morning. Now turning to the Tenda segment, last year was a defining point in the turnaround process. Having focused on the delivery of the remaining units of the legacy projects, we ended the year with only three such construction sites, equivalent to 2,593 units. We expect to deliver these in the first half of 2015. This compares with nearly 31,000 outstanding units in early 2012. Another key point for the Tenda segment in 2014 was the performance and high volume of deliveries on the New Model project. Last year nine projects, totaling 17,000 units and 213 million reais were delivered. I’d like to stress that in these first projects delivered, Tenda is really achieving the profitability drivers established for the New Model, with an adjusted margin above the floor of 28%, average monthly VSO was between 5% and 7% and in October changing, we have cancellations of around 15% of total gross sales. In 2014, Tenda segment launched 14 projects, totaling 613 million reais in PSV, in line with our launch guidance for the year. Tenda continues to believe in the resilience of its market in face of a more uncertain economic scenario. Demand in the low income segment remains strong, thanks to low unemployment and continued access to credit. For the coming year, Tenda continues to seek increased scale through growth in launches and the implementation of strategies to ensure the achievement of solid sales velocity. Tenda will also actively seek out new businesses, taking advantage of opportunities created by the general market environments. Tenda will continue to be very active in looking for new business. And now, the consistent results on the New Model consolidate our trust in the business plan for 2015. Now, I’d like to pass it back to Mr. Andre.
Andre Bergstein: Thank you. Consolidated Gafisa and Tenda launch volumes reached 241.5 million reais in the quarter and 1.6 billion reais in the year. Net pre-sales were 303.9 million reais in the quarter and 1.2 billion reais, and adjusted gross profit was 190.1 million reais with a margin of 30.2% in the quarter. On a full year basis, adjusted gross profit totaled 713.3 million reais and the margin of 33.2%, above the prior year. We are consistently seeking greater efficiency and productivity in the business cycle in both segments. This resulted in a drop of 20% in our expenses with sales, general and administrative expenses when compared with the previous year. Consolidated net income was 8 million reais in the fourth quarter, comprising Gafisa’s net income of 36.8 million reais and a loss at Tenda of 28.8 million reais. For the full year 2014, net income was 42.5 million reais, as Gafisa reported net income of 66.9 million reais and Tenda reported a loss of 109.4 million reais. Again, we highlight the company's cash generation throughout the year. We ended the fourth quarter with a cash flow of 103.1 million reais, reaching 298.6 million reais in the year. This result comes from the sound performance of the transfer process to banks with approximately 1.7 billion reais transferred to banks in the year and a greater assertiveness and control of our business cycle. Free cash flow was positive again, reaching 38.3 million reais and totaling 81.0 million reais in the year. Total cash generation excludes certain non-recurring effects such as transaction. Excluding the project financing, net debt equity totaled a negative ratio of 19.0%. The spinoff process is ongoing. The brands are currently operating independently, with their own structures that are reflecting to the specifics of their business models. We continue to work with partners and financers in order to advance the separation of the financial products that have already been structured, as well as to open specific credit lines for each of the two companies. Finally, we would like to note the initiatives taken in 2014 to remunerate our shareholders. We have these initiatives. As we said during the year, the company distributed to its shareholders, in the form of interest on capital and dividends, approximately 163.1 million reais, or 0.40 per share reais, representing a cash yield of 17.9% compared to the year-end stock price. In addition, since the beginning of 2013, and in-line with the policy of maximizing shareholder value through the various buyback programs, we disbursed 208.7 million reais in the acquisition of 73.2 million shares, of which 57.5 million have been canceled. In early February, we will continue this repurchase program for 27 million shares. We were able to improve the operational and financial cycle. This guaranteeing greater soundness and comfort as a result of the challenges we have for 2015. The Gafisa segment, with the consistent performance and streamlined operations, is focused on improving its level of capital employed. The Tenda segment is ready to increase the volume of new projects, backed by strong results obtained in the projects launched under the New Model. The company continues to advance guided by its objectives of profitability and value creation, capital discipline, and its intention to maintain and improve results over the coming year. Thank you for your attention. Now we are available for questions. Now we will begin the Q&A session.
Operator: [Operator Instructions] Our first question comes from Ms. Nicole from Credit Suisse. Ms. Nicole, please?
Nicole Hirakawa: I have two questions. The first, please give us more details about the results of Alphaville in the quarter. We see a substantial improvement. I’d like to understand if the profitability -- how is the profitability level, if it’s closer to the recurring situation and also the volume of launches and sales of the subsidiary? My other question on the level of G&A, you had nominal reduction of almost 10% in the year. And do you see potential for lower reduction and also the volume of launches. I believe that with a more difficult scenario, it maybe -- might be difficult to make a forecast?
Andre Bergstein: Good morning, Nicole.
Nicole Hirakawa: Andre, good morning.
Andre Bergstein: Well, Nicole, concerning Alphaville, the greatest difference came from this year. You can see in the release that is included in the material. There wasn’t a relevant increase in the last quarter. So we had good evolution in project of smaller contribution and we had infrastructure projects with less revenue. So we have a good margin, a good EBITDA margin. The greatest difference in this quarter was the level of revenue. Alphaville had launches. Sales were higher than the previous quarter. For more details, please talk to -- Cohen has talked to you. He will give you more information about the results. Now concerning Alphaville, there were some things that happened this year, mentioning to IGPM. As you know, they have escalation of being IGPM index. Also there were some non-recurring expenses as a result of their own back office. But these things are over now. We hope better result in operable heads in 2014 because of these factors that I mentioned in terms of D&A. I will talk a little. Then Felipe can talk about first guidance launches, sorry, were not establishing. I had guidance for D&A. We talked about the relationship between D&A and launches. And that’s why we removed these forecasts. We have done assessments due to the things that happened this year. While it looked at the other alternatives, it’s very important at this time to not have the foreseeability of the economies weaker. So the two companies have lot of focus on this. We know we will work on this and we will continue with the guidance of 7, 7.5 in both companies. We continue with efforts. We are working to make the two companies more efficient. We did the spinoff also. And now, we can hear about Tenda, just supplementing the G&A vision for Tenda. Since 2012, reducing the nominal G&A of the company, we went from 110 million in 2012 to 87 million now in 2014. All of this comes from the results by simplifying the operations of the company and also the legacy. There are opportunities to adjust the G&A, not with the same magnitude as we had until now, reminding you that we are in a period of ramp up. We are ramping up operations. The level of the company has been growing in an accelerated way and we need a structure to really help this growth. In terms of goals for guidance and launches in the case of Tenda, although we see a sector working with a lot of Tenda, although we have a lot of demand in this sector at Tenda, the difficulty we have to foresee, to make forecast is because we only -- we are only launching those that are contracted and this really affects the number of launches. Last year, we had a lot of concentration and launches in the fourth quarter because of the difficulty to really contract money from the banks due to the rate and by the need to make this contract with the banks.
Nicole Hirakawa: Thank you, Andre. Thank you, Felipe.
Operator: Next question comes from Mr. Carlos from Itaú BBA. Mr. Carlos, you have the floor.
Carlos Constantini: Good morning. I have two questions. One has to do with the landbank, plots of land. We see there -- I saw the readjustment being booked, and so the guarantee and maintenance of projects. We saw the readjustments and bigger projects will be continued at the same level as now.
Sandro Gamba: Carlos, good morning. Now talking about the landbank, plots of land, in the last quarter we had two factors. One, the impact of the landbank, we are talking about Gafisa and this is a standard in the company. Every year the plots of land that are not in our business plan, we identify the markets, fair market price. And if there is a difference or those who acquired in the past, if there is between the value in the books and the actual value, we will make adjustments. This, at Gafisa, we have variation of 5 million reais. I would like to stress that we have some old plots of land that we will no longer build on these plots of land, but they weren’t formally resented. There is, what we have cancelled some purchases of land and we have money to receive. Although, we were conservative in booking their value, we have venture to receive 8 million reais to 9 million reais in the next two years. So we have a more conservative approach updating and -- updating the value and that was 5 million. Now we also have 70% for distribution in Cipesa that we acquired in the state of Alagoas in 2007. We acquired the other 30%. And with this, we zeroed some assets and liabilities. One of them, the gross margin which was 13.5 million reais. Third, during the BRS, we had other negative and positive impacts, and we have a small positive effect. So we had started having that with our partner and then we had amortization, depreciation that grew in fact $14 million, and another positive impact in the interest which is booked and we lowered the debts. And we then just had a positive impact in finance. So we had a quarter with lower financial expenses. And now in net terms, we had the Cipesa brand, but no assets inside. We will think later if we will use this brand. So we zeroed everything that was related to the Cipesa, in terms of assets and liabilities. So now concerning contingencies, we followed within what we said having the effects of the past projects that were delivered. So I believe that in 2015 we will have a single number. As I said, as these projects that were late in delivery have -- are delivered. As these old projects are delivered, we will have a better situation. In the year 2016, we will have this number dropping. So I believe I answered your two questions, Carlos. Thank you.
Operator: Next question comes from Luiz Mauricio from Bradesco Bank. Mr. Luiz you have the floor.
Luiz Mauricio: Hello. Good morning. I have two questions. The first has to do with the cost of Tenda. We saw that we have financial revenue here instead of debt related to projects. So why did we have revenue instead of debts?
Felipe Cohen: In this slide, also concerning the spin-off, the current scenario is even more challenging than we expected on Friday. We had some negative news for the sector, and especially for low income projects. And we will have problems in the short-term in this market.
Luiz Mauricio: How do you see the spin-off of Tenda, the separation of the two companies in terms of the liquidity of the shares, the demand in the sector? I’d like to hear your opinion depending on circumstances. We know there maybe changes. I’d like to hear from you, how you see these points and the next steps? Thank you.
Felipe Cohen: Well, beginning specifically with the first question, the financial cost. In reality, we recorded into splits -- we made a recording in the third quarter, we made an adjustment in the fourth quarter. We mentioned this in the previous calls, we had a larger expense in the third quarter and we identified and then we corrected this in the fourth quarter. This won’t happen again. It’s a non-recurring point. So we will have a negative financial cost in the fourth quarter as we had in the previous quarters. Now concerning the spinoff of Tenda, the macroeconomic scenario has been very turbulence. But when we look at the economic segments, we see a strong demand. Tenda has had a very good performance when we perched the effects of the legacy project. If you look at the indicators of the new model, they are within expectations. We are delivering on time. So we understand that on the right track in terms of the spinoff. Obviously, there still are some important steps to make feasible spinoff of Tenda. I believe the great point where we are working on, we are opening credit lines for Tenda in the market because the operations in the past were anchored in Gafisa’s statements. Gafisa had to guarantee it takes time to really open the new credit lines.
Luiz Mauricio: Concerned with your first point, could you quantify the effects non-recurring 8 million reais? So what you saw as revenue for should have been an expense?
Andre Bergstein: 4 million reais expense. Thank you. 
Operator: Next question comes from Mr. Fred Mendes from HSBC Bank. Mr. Fred, you have the floor.
Fred Mendes: Good morning. Two questions, the first I saw the adjustments in gross margin. You talked about the purchase of plots of land. Is there any discount that was not mentioned. I believe you sold more inventory. So the impact on the gross margin, also on Tenda, I’d like to understand better what is this expense of 16 million reais in Gafisa was positive but in Tenda could you give us more details please?
Andre Bergstein: Fred, good morning. Andre here. Concerning gross margin, no special discount project by project, we are always looking and searching for opportunities. We may offer a discount here or there where it make sense. When we see that there was less liquidity but nothing that could influence gross margin. Now, Carlos, you had asked about guarantees bookings. We made an adjustment in the accruals and we reanalyzed during the quarter. And we used an approach that is more correct in our opinion, analyzing each projects that still has maintenance that means five years after its deliverance of the maintenance period and with the expenses we have seen the cost of maintenance of each project. So line by line, I believe it’s more efficient to do with line by line because the most recent projects have better processes. And they have less maintenance than the older ones that have problems in the delivery as we know. So thus we believe we can quantify better the cost we will have during the guarantee period with maintenance, the five-year guarantee. Now Felipe you can talk about equivalents.
Felipe Cohen: Well. Fred, this equivalent was affected by an adjustment in one project of the legacy project, which is -- here it was a project that was segregated in three phases. Two phases were already launched. They still have a considerable inventory and we had comps allocated to the third phase, concerning the lands and infrastructure in our -- in the strategic planning for 2015. We saw that it would make sense to have this cost and we decided when to remove it.
Operator: Next question. Mr. Marcelo, J.P. Morgan.
Marcelo Motta: Good morning. Two questions. Could you comment the other markets where Gafisa is present we see -- you said that there was the impact of the land? Did you have other impacts and how much revenue do you expect from the other markets and also in the segment of Gafisa, the prospects for January, February better than the past, worst than that in the past?
Sandro Gamba: Hello, Marcelo. Talking about the other markets, nothing relevant. Looking at new markets, we have today $140 million in inventory in new markets, other markets outside São Paulo and Rio. So the revenue for new markets is lower and lower. In this quarter, it was 2% outside Sao Paulo and Rio. There was nothing relevant. We had good frequency in the sale of inventory and other markets, 45 million reais in this quarter. So at the end of the year, we lowered. I don’t believe we have anything that will change things. Now, Sandro will talk about the markets.
Sandro Gamba: Marcelo, good morning. Concerning the Gafisa market -- Gafisa’s market at the beginning of the year, it is very similar through the first six months of 2014. It is a market that is suffering from uncertainties, macroeconomic programs, see a strong rise. It is very similar to the performance of the two first months of 2014 in Gafisa.
Marcelo Motta: Thank you.
Operator: Next question comes from Mr. Lukaisus, Banco Fator Corretora.
Frederico Lukaisus: Good morning. Please comment on the sale of inventory? We saw a reduction in the inventory of the legacy projects in the fourth quarter. Do you think this will continue in the next quarters? Please also talk about the Tenda markets in January and Feb?
Rodrigo Osmo: Lucas, good morning. Rodrigo speaking. The sale of inventory, we did not have a discount policy. Talking about Tenda, we feel that the market is still strong. The macro economic scenario did not have an important influence in our sector, the sector strong demand. Competition has dropped a lot in the last few years, so we understand that’s the sale of inventory was very strong at the end of the year. December was the best month of the quarter, and January, February have maintained a good sales levels. We have been suffering with lack of products on the shelf. We had a good launch in the last quarter. So, the temperature of the market today for low income is positive, very positive.
Frederico Lukaisus: Thank you.
Operator: Next question comes from Mr. Eduardo from Bank of Espirito Santo.
Eduardo Silveira: Good morning. I have just one more question concerning the variation of other financial assets. This variation is explained by the 30% of suppression. Do you have any other factors or reasons since the net consolidated debt of the company went up?
Andre Bergstein: Eduardo, Andre here. Good morning. Considering what I said to you we have this financial impact because of the purchase of the remaining 30% we had reduction, but that when we ended the partnership.
Eduardo Silveira: There is a variance, other investments $94 million. Could you please give details about this variance?
Andre Bergstein: Just a second. Okay. This is the following -- this is the repurchase of shares. We’ve repurchased shares, since we renewed 2 points, when we talk of debt, the repurchase of shares and some other affect that had an impact coming from the Alphaville transaction. This value has to do with the volume in local currency reais when we repurchased shares, when we bought back shares -- buyback -- share buyback.
Operator: [Operator Instructions]